Martin Ziegenbalg: Thank you and good morning to all of you out there. Thanks for joining on the call for the Q3 2023 Reporting. As flat [ph] we have our Group CEO, Tobias Meyer and Group CFO, Melanie Kreis with us, who will take you through the material. And with that right over to you Tobias.
Tobias Meyer: Good morning, everybody. Thanks for joining. Page 3 provides an overview of the highlights. Generally, we would say that Q3 was in line with our expectations, also with market expectations. Given what has been going on in the world, it has been financially an astonishingly uneventful quarter. We have seen the moderation and normalization of the general freight market. You've seen this in the reporting of our competitors as well that obviously on the ocean side, on the air freight side, there is rate normalization. We do see still some softness particularly on the B2B side. So, we have clearly not seen a revival of the global economy and global trade in the third quarter yet. This is also why we have taken that macro scenario out of our guidance portfolio and remain our guidance with the remaining two macro scenarios that lead to a range of €6.2 billion to €6.6 billion of EBIT for this year. We do see also in the third quarter that our free cash flow generation has structurally improved. We're actually quite satisfied with that. We selectively continue to invest in quality, but obviously we have slowed down investments in capacity expansion, and we have particularly rightsized our investments in Germany. Overall, we see ourselves well positioned. Also on the employer side, we run an annual opinion survey and this year we were a bit more cautious regarding our expectations, given that the sentiment in many countries isn't that positive and we're satisfied that we keep a very engaged workforce and have good feedback also with regards to that. So, generally, we see ourselves in a position of good performance given the macro environment and also good financial health. We'll continue with our share buyback program as planned and laid out earlier. So, there's no surprises on that side as well. On the following Page, Page 4, you see a bit of volume trends here focusing on the B2C volumes, where we obviously had a massive surge during the COVID area, which largely stayed with us. On the Express side, we still have some down trading in the third quarter given that some of the shippers are a bit more cost conscious and focus on lower cost and modes of transportation. But also, they're particularly now, leading into October, we see a robust start into the pre-Christmas peak season. That is also true for e-commerce and Parcel Germany volumes. E-commerce, as you know, we have quite a heterogeneous portfolio. Some businesses like Poland, to some extent also India, have quite a B2B share as well. We have other markets that are very much B2C focused and we have seen good growth in those markets, particularly in recent weeks. That would be the Netherlands, the US, Sweden, and Thailand as examples of markets of DHL e-commerce, where again in the third quarter we had growth, but a slightly accelerating trend as we head into the finishing quarter of the year. Germany, the Parcel volumes up, particularly workday adjusted, this would add another two percentage points to seven. The full quarter had 5% path of growth. Obviously, this being balanced by decline in mail, which continues to be above historical levels and the challenging regulatory side, when it comes to the pricing of mail. But the Parcel business in Germany being in a very healthy state. Page 5 turns towards B2B volumes. There we continue to see very much the global macroeconomy being reflected, particularly the continued softness in B2B trade. It has been quite a long time, you'll see this year now for Express, basically now the ninth quarter of negative growth. It's narrowing, also again in recent weeks, but it's still not positive and still substantial decline in the general air freight and ocean freight market. In the forwarding market, competitors have taken a bit of a different stance on their yield management and volume management approach. If you average that out, we're pretty much in the middle of that. So, we see this still as an ongoing market correction and also the aftermath of rising interest rates, which seems to have a longer drag on the macroeconomic environment than some might have expected. So, that might well take another one, two quarters until we see a substantial revival in freight volumes. Rates, particularly on the ocean side on the spot market seem to have bottomed out, but at least on most trades that obviously longer-term contracts are still in place. So that will again, probably take another one, two quarters until that also the contract kind of renewal then reflects the new reality. Page 6 shows a bit our short-term priorities. We're obviously looking at cost, indirect cost, but also adjusting capacity. I think we have flexed the networks quite well, especially in Express. We're quite happy with the mix of commercial air. So, belly space that we use on some trades, our mid and long-term charters and then our own aircraft. So, that mix prove to have the right flexibility also in the current situation and we do not only flex down, we also flex upwards. So, in recent weeks, we had a couple of additional charters on the transpacific because we had unexpected spike in some e-commerce related volumes. So, it shows, I think, that overall we have a good balance there and the network is providing the efficiency that we can expect in this part of the economic cycle. On the yield side, that's similar. We invested a lot of time across the divisions to professionalize our pricing. And I think that serves us very well also in the current situation. This includes fuel where we have the typical surcharge mechanism that you're aware of, it has a certain time lag. But ultimately, we recover any rise in fuel price that there might be. Finally, on the peak season. The pre-Christmas peak coming up and as I alluded to, we already see signs of this. There might be a sense of E-tailers, particularly, advancing their sales, recognizing that overall consumer spend is somehow limited by affordability. But again, a good start on the consumer side when it comes to buying online and shipping parcels. So, that feels like we will have a peak season in that segment of our business. Page 7, and many of you are familiar with this. Our portfolio is all logistics related, but has exposure to different segments of the economy. Global Forwarding, Freight, being most exposed to the cyclical part in the air freight and ocean freight markets. B2B Express is somewhat decoupled from that. There is more stable flow of spare parts and similar goods, but it's still an exposure also when it comes to the freight product, the filler product that Express offers. And that you also see in Q3 that that has reduced. Supply Chain being much more robust. And that is also what we see in the Q3 numbers that we still have growth there, also on the EBIT side. And then the e-commerce related part, which performs well, the division when it comes to growth, which is important to us because we want our smallest child to grow a little bit bigger in that promising market, but also the e-commerce related businesses in supply chain, in Post & Parcel Germany and the B2C share of Express. So, we still overall feel very good with that portfolio and obviously the leather business in Germany, which is structurally declining, being now a relatively small part, about 7% of revenue. Page 8 speaks to what I already mentioned. Our employee engagement score traditionally shows some correlation with earnings and the macro situation, that is not the case at least from 2022 to 2023. So, we remain at a score of 83, which we consider very positive. That is driven by all DHL divisions, particularly also our supply chain colleagues, where the sentiment is very positive. So, we feel good about this. It matters in our business, which is a service business, that we have an engaged workforce that is loyal and committed to delivering good service. So, that is particularly assuring when tough weeks in the B2C related businesses are ahead, referring to the pre-Christmas peak. With that, I would hand it over to Melanie to give you some more details on the financials.
Melanie Kreis: Yes, thank you very much Tobias and good morning and welcome to all of you also from my side. So, Tobias has already talked about all the relevant trends shaping our financial performance in the third quarter and he has already said that this third quarter, despite the year-over-year decline in operating results, was fully in line with what we had expected given the very high comp level of Q3 last year and the fact that everybody knew that, for example, on the freight side, a market normalization would be coming. So, nothing really surprising on page 10. I will talk about Express and Supply Chain on the two next pages in a bit more detail. So, let me quickly touch the three divisions there. We don't have a detailed slide in the main deck. Starting with forwarding freight. Yes, Tobias already said, this is obviously a macro dependent business there. We have, again, seen a quarter with relatively low volumes. And that combined with the ongoing and expected normalization of rates has led to the results. I think what you see in our numbers are pretty much the same drivers, which we have already seen in the peer reporting. So, I would say nothing surprising on the Global Forwarding freight numbers. In e-commerce, you saw the B2C volume development for Europe, where we were in growth territories. So, I would say, overall, resilient volume development in e-commerce. And as Tobias already said, we keep investing into the expansion and optimization of the networks in this growth division, and that is why we have consciously accepted some temporary impact on margin to capture the attractive structural e-commerce growth opportunities going forward. Turning to Post & Parcel Germany. The fundamental developments were similar to -- year. So, the structural mail decline continued, no surprise here, the impact of cost inflation. And on the positive side, you also saw that in Tobias' numbers, the resilient development of the B2C parcel volume. We have taken additional cost and yield measures and that is visible in the somewhat better EBIT run rate. So, it is moving in the right direction. And as we all know, Q4 and the peak is a very important quarter for the P&P, which should give us the uplift to deliver on the P&P guidance, which I will come to in a minute. I think the other important topic which we have previously discussed, we expect the revision of the postal law, which should take into account the changed consumer habits around digital communication, and that should give us the opportunity to then better reflect cost inflation in a declining mail volume market. So, that is for the three divisions, which I'm not going to discuss in more detail. On Page 11, we have included a dedicated slide on Express because we know that this is, of course, very relevant for you given the role Express has in the overall group numbers. So, looking at the numbers of Express for the third quarter, I think the first important thing to mention is that we have not seen any fundamental change in the volume or pricing environment compared to what we saw in the second quarter. On the volume side, and Tobias mentioned that already, but I think it is worth pointing out, it was now the 9th consecutive quarter with volume decline, which is beginning to ease out of it, minus 3% now, but it was the ninth quarter of consecutive volume decline, which, of course, has an impact on operating leverage in the Express network. So, the 11% EBIT margin has also to be seen in that context. The other thing which I want to point out, when you look at the minus 10% TDI revenue per day year-over-year decline. That looks like a very high number. This is very much impacted also by currency impact and by fuel, which takes me to the fuel topic. So, we have discussed that already in Q1 and Q2 where we actually saw a tailwind from fuel to our numbers. We pointed that out very clearly. That is also shown visually on that slide with the two green arrows. This trend reversed in the third quarter. In the course of the third quarter, we saw a very significant increase in fuel prices. And as you probably all know, there is a certain time lag before we can pass this increase in fuel onto the customers. So, the tailwind we had in the first half of the year turned into a very stiff headwind. And that combined with the continued headwind from currency, led to a significant negative impact on the Express numbers in the third quarter. On the positive side, we saw this being partially offset by a positive tax effect. If you put all three topics together, fuel FX and the positive tax effect, the net impact was around -- of headwind for Express in the third quarter. So, if you want to talk about the underlying Express EBIT run rate that would have been around €770 million, and it was a bit below H1 obviously, but still a very healthy number in the current macro environment. So, as already mentioned, in a business like Express, volume decline is putting a certain grind on the profitability of such a fixed asset network. But I think there's also a positive note to that, eventually, volumes will come back. And then we will see the same operating leverage turn into a tailwind again. So, when volume comes back, we will see the reversal of what is now a headwind. Talking about growth and turning to Page 12. We actually had even in the current situation, one division where we did see growth, and that is why we added a slide on supply chain to this presentation, not because there are any special surprises in the quarter, but we really want to point out the structural growth and also highlight that supply chain delivered the 11th quarter of year-over-year EBIT growth. So 11% growth, 6% margin, 5% organic revenue growth, good numbers in the quarter. But what is perhaps even more important, when you look at the left side of the slide, supply chain also continued to sign strong new business wins. And that is, of course, something which will give us a good basis for business growth going forward. And for me, this confirms, yes, the structural tailwind towards more logistics outsourcing, for example, driven by e-commerce fulfillment, but also driven by the diversification of global trade, omni-shoring, all of those buzzwords. That is really something where our customers appreciate the strength of our overall logistics portfolio, but also particularly for the competence of our supply chain colleagues to support them in making their supply chains even more resilient going forward. So, that was a quick run through what is happening in the divisions. And then you turn to Page 13 and look at the main group numbers for the third quarter. They obviously reflect the just described divisional developments in the P&L. I think there are no other significant topics to highlight in the P&L for the third quarter. It was very straight forward. What I want to point out here is free cash flow because that is obviously of the utmost important, I know for you, but also for us here as a management team. So, we are very pleased that the free cash flow was holding up strongly in the third quarter, €1.1 billion. So, yes, the overall normalization on the revenue and EBIT side in the P&L also drives lower numbers in the cash flow lines, also in working capital and also in taxes, why the change in provision line also turned around from the unusual positive number last year. What you can also see is CapEx control, very important. You will also see that in our guidance in a second. And particularly in P&P, we have a very clear focus on CapEx control, and that supported our free cash flow generation in the third quarter. And on that basis, we have today confirmed our guidance for free cash flow for the full year, €3 billion, excluding around €500 million anticipated M&A spend. And I think that is, for me, a very good indicator for the resilience of our group. We keep generating good levels of cash flow also in challenging market conditions, while at the same time, being ready and staying ready towards the next cyclical upturn, which will come eventually. With that, turning to the guidance scenarios on Page 14. So as you know, we started the year with three macro scenarios. The L, the U, and the V-shaped recovery scenario. The V-shaped scenario had assumed that there would be a recovery starting around midyear. That has obviously not materialized, and that is why we have crossed out the V-shaped scenario. That leaves two potential outcomes for the development in the rest of the year. If we were to see no recovery in the remaining weeks of 2023, we would be in the L-shaped scenario. And on that basis, we would still anticipate to deliver at least €6.2 billion in EBIT. Should there be a late pronounced peak, and in the U-shape scenario, we would expect to end at around €6.6 billion. With that, on Page 15, you can see the guidance in full detail. Talking first about the left side of the page, the 2023 guidance. We have left the P&P guidance unchanged and have now reflected the two remaining macro scenarios, which I just talked about in the updated DHL guidance. As already mentioned, on the free cash flow based also on the development of what we have achieved after nine months. We are confident that there was this €3 billion in free cash flow before, around about €500 million anticipated M&A spend. Nothing surprising here. I mean you have seen that we did the MNG KARGO acquisition in Turkey. We've announced the buyout in the Middle East, so that is anticipated for the fourth quarter. On the CapEx side, we have now reduced the guidance to the lower end of our initial range at around €3.5 billion. That reflects the obvious volume development where we are slowing down where it makes sense in the DHL divisions whilst keeping investing into a future uptick, and we are very cautious on the P&P CapEx. So much for the 2023 guidance. Now, looking towards the midterm guidance, we had to take into account the factual observation that there has been no market recovery yet. So, when you kind of like look at the length of the market downturn with a slow volume growth, that is now lasting even longer than what we experienced in the financial market crisis in 2008 and 2009. So, things are dragging on a bit longer. At the same time, we are convinced that eventually we will see a cyclical recovery following the current cyclical downturn. So, we do expect to get back into a growth trajectory towards 2025. But it would probably from the current state of affairs be too aspirational to go for more than €8 billion, and that is why we now indicate that by 2025, we want group EBIT to be back in the range between €7 billion and €8 billion. And accordingly, we have adjusted the related CapEx and free cash flow outlook to take into account the current situation. So, much for our guidance. And with that, I hand back to you, Tobias.
Tobias Meyer: Yes, thank you, Melanie. On Page 17, on the outlook, you see what we do in the short term, which is nothing too surprising. We obviously need to control cost. We do that in a structured and continuous way. We don't believe that it's good to build things up to then cut them down, but we certainly still have areas of the organization, where also this part of the economic cycle is good to do a bit of a fitness program, get on the treadmill, lose some weight. So, that is definitely going on. Similarly, on the CapEx side, we do invest where there is growth, but we just need for now less capacity expansions, particularly in Express, but we do continue to invest in quality, but at more moderate levels. And obviously, with P&P, we need to keep that in line with what the business can afford. The yield side, similarly, we have, I think, developed good capabilities there, a professional pricing regime across the divisions, especially in Express. So, you will continue to see that as well. On the more long-term side, e-commerce is a structural growth driver for us that remains very relevant. And as I mentioned in the last weeks, have indicated that we'll have on the B2C side, a normal peak. And generally, that the trend to spend more online is intact. The B2B side is still, I think, more uncertain where that goes from the cyclical development. Supply chain, especially benefits from the omni-shoring. We have great customer demand in those China Plus One markets, Mexico definitely being most pronounced, but also others. And then the global trade recovery, we believe, will certainly come, probably take one more, two quarters for interest rates impacts being absorbed by the broader economy. Page 18 shows that we believe the house is in order. With good feedback on our employee side, we have progressed quite a bit in terms of the structural transformation away from a declining mail business with now 86% of 2022 EBIT already being DHL and also in Post & Parcel Germany, half being a growing parcel business. Digitalization and sustainability are high on our agenda, and we continue to pursue both. So there is no real change in that. Similarly, the structural megatrends that we often talked about in this round, in other occasions, we do still follow. We aim for accelerating growth. We do see an opportunity in the current circumstance, where capital, particularly when it comes to last-mile markets, has dried up quite significantly. And for those of you who are following the industry closely, you see that that has an impact, and that is good for us and offers opportunities for accelerated growth. And our capital allocation will reflect that, but it will also reflect that we have good rewards for our shareholders and have the balanced approach that we have laid out in previous calls. Page 19, then summarizes this. So, we confirm the free cash flow guidance and I think the third quarter was a good indication that that is going well. We see that the recovery of global trade will come, but it will probably take a little bit longer. And as Melanie alluded to, given that in the cyclical part, the supply chain and DGF earnings typically take a while until the cyclical uptrends translates into profits. That is the reason why we have portioned our 2025 outlook. So, it's that cyclical element that brings that change. It is not really a change in our structural view. We see the group very well-positioned in the logistics market and see also opportunity to take market share in the coming quarters. With that, I thank you. I think we still have an invitation on Page 20 that if you have interest, you can visit one of our DHL hubs, Brussels, I think is the more impressive location, but also Hamilton, Toronto for some of you might be closer and it's also nice. So, we welcome to visit up there. And I think with that, we turn it over to questions.
Martin Ziegenbalg: Thank you, Tobias. Thanks for the advertising. And George, if you initiate the Q&A then, please.
Operator: Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] Our first question comes from Alex Irving from Bernstein. Please go ahead.
Martin Ziegenbalg: Alex, good morning. Alex, can't hear you.
Operator: Your line is open.
Martin Ziegenbalg: George, there seems to be a problem.
Operator: Our next question comes from Parash Jain from HSBC. Please go ahead.
Parash Jain: Thank you and I have two questions. Maybe first, if you can talk us about how will be your 2025 target bridge will look like. Is it fair to say that the growth will largely come from Express and supply chain, while all other businesses probably find some resilience at these levels? And my second question is more on the shorter term. Into the fourth quarter, I mean, there's a lot of euphoria about the Chinese e-commerce players are penetrating into the US market, whether it's Temu, SHEIN, or TikTok shop. We have seen the air freight rate reverting or rather increasing out of Hong Kong and China. Are you able to gain larger market share in this? Is this trend visible to you? And do you think that could basically surprise the market in going probably at the end of fourth quarter? thank you.
Tobias Meyer: Yes. Thank you for these two questions. I'll start with the latter. On the Chinese e-commerce market, we do indeed see this very strongly. These players being aggressive and successful in established markets like the US, but also Europe. So, we see it in different parts of our business, Express Global Forwarding, particularly provision of airfreight, but also our last-mile businesses, where a lot of these shipments are also injected directly. So, whether we gain market share in that, I think it's very difficult to say because these are often campaign-based sales, which lead to certain spikes and thereby it's relatively hard to judge the size of the market. But again, we do have exposure to this, and it is definitely a relevant growth driver. As it relates to 2025, we do expect different divisions to make a contribution. Next to the ones you mentioned, Express and Supply Chain. This would also be e-commerce. It's a small child, but we expect it to grow in terms of revenue, but obviously and maybe a bit staged then also making a contribution on the EBIT side. The exact panning out of the ocean and air freight markets, I think, is still too early to judge, how that will translate into the different quarters and what that will add up for 2025. But as I already alluded to, we have become a bit more cautious when the ultimate cyclical upturn will happen and when it translates into profits and that is typically, we are forwarding being the most cyclical of our business makes the biggest, at least relative difference.
Parash Jain: Thank you so much. And have a good day.
Operator: Our next question comes from Alex Irving from Bernstein. Please go ahead.
Alex Irving: Hi, good morning Tobias and Melanie. Three for me, please. First of all, how is the global inventory correction progressing, inventory levels back to normal and we're just waiting for the macro to get better? Or is there a further restocking as far the destocking I'm sorry, yet to go. Secondly, can we dig a bit more into the 2025 guidance, please? You said a few times that eventually, volumes will come back, but your guidance seems to imply that either they come back to a lower level than previously thought or they don't really start coming back until partway through 2025. If that's right, it is more the timing of the recovery or the target level? And then finally, you talked about a peak seasonal ad this year. Is that likely to be a similar sequential increase as in previous years or more muted one. Thank you.
Tobias Meyer: So, thank you, Alex, for these questions. I'll start with the inventory restocking. To be honest, it's very difficult to judge. And I think it highly varies subsegment by subsegment. And we are also surprised even if you look at customers who have consumer exposure and the B2C sales, as I mentioned, online sales are generally picking up. There are certain durables, which have been in high demand during COVID, do-it-yourself stores and equipment, for instance, where people have stocked up, and we have multiple customers that we talk to that have a lot of inventory. I think similar on beverages, you see that wine consumption having gone down and they are also we see in the warehouses that we operate, that there is still a lot of inventory. But there are other parts, even in B2B change, where that isn't the case. So I think the level of differentiation is higher. And I think that's quite plausible given that this is now lasting so long and it's not a uniform macro shock where people buy less across different or all commodities basically. But it is quite differentiated. Where it overall comes out is hard to say whether we have reached a long-term average already. But for us, it doesn't really matter that much because we ask our organization to particularly focus on those areas where obviously there is opportunity. And again, there are these segments. As it relates to your questions on the 2025 guidance, as I alluded to, it is primarily a matter of timing and also volume taking some time to translate into profits, particularly on the Global Forwarding side, where you need to cycle through contracts that are typically six, nine, 12 months. So that is what is driving our slight caution on the 2025 number. The third question, I believe, was on the Q4. I would currently say that the early signs believe -- make us believe this is a very normal peak and not a muted one. Now, it is early. And as I mentioned, we need to be cautious what element of that is now driven by a change of behavior of our customers doing more advertising, more campaigns earlier. So, that might be an element of that, which does not exclude that then December is going to be a bit more muted. We don't know that yet. But what we have seen in recent weeks is encouraging.
Alex Irving: Very clear. Thank you.
Martin Ziegenbalg: Thanks Alex. And I think it's Robert Joynson next in line.
Robert Joynson: A couple of questions from me, please. So, first of all, on P&P Germany. You asked the regulator for a stamp price increase for 2024, which was turned down a few months ago. Could you please provide an update on the latest thinking in terms of when the next increase will be, how much it's likely to be? And also, whether going forward, it may make sense to incorporate some kind of inflation linkage. And just a side on P&P Germany as well, when you were talking about the bridge to 2025 when answering your previous question, I don't think you mentioned P&P Germany, but presumably, that will be a higher -- a source of higher EBIT as well with stamp price increases by then? And then just the second question on DHL Forwarding. If I look at ocean volumes, they're down in the mid-single digits versus 2019, which is pretty consistent with the trend being reported by some of your peers. But if I look at container volume data more generally, irrespective of where I look at global volumes or East West volumes, the development versus 2019 is up in the mid-single-digits. So, just in that context, are you seeing any evidence in general that the large forwarders are losing market share? Thank you.
Tobias Meyer: Yes. Thank you for these questions. Starting with P&P. So, indeed, we do assume that we have an increased contribution compared to where we are now in 2025 based on revision of the postal law, which then also leads to a revision of the stamp price where the inflation that we have seen in the last two years is not adequately reflected. You might know that that in the last price setting around the regulator had assumed end of 2021, an inflation of 1% per year for the regulatory period of 22% to 24%. That clearly did not materialize, and that is part of the issue that we have as it relates to the current earnings performance of P&P. But what is very clear, we need a reform now of the postal law, where the government is behind its own schedule. It is we know to have perfect visibility on, how this is going to unfold over the next weeks and months, but I think it is very clear that, that reform needs to happen. And we would assume that we can have a revised stamp price by at least January 2025. it is difficult to see how it would happen earlier. Maybe there isn't a possibility for that, but that would require the postal law being passed on quite quickly. As such, the mechanism already is inflation linked. So, the inflation forecast plays a role. And traditionally, this has also been handled very professionally. So, we hope that we have a return to a very professional handling of that price cap process. That is at least what we're used to in this country. The second question on ocean freight. We do not see that large forwarders lose market share, but I agree with you there is a bit of, let's say, unclarity how exactly now which type of commodities are trading in which markets. We are traditionally not so exposed to, let's say, bulk type of commodity markets that are also containerized by now stuff that has -- in 20, 30 years ago, still be traded as bulk has been increasingly containerized, including food staff, grains, liquids. So that is something that traditionally forwarders are not very engaged in, and we wouldn't necessarily consider a part of the forwarding market in the first place, and that seemingly has become a bigger share. So, that would be our explanation. The classical forwarder market is more focused on finished goods, certain types of fruits and vegetables. So, on the temperature-controlled side forwarders also are engaged, but we do not see that larger forwarders for instance, would loot market share against smaller forwarders, that is something that we would not see in the current trading and how our customers behave.
Robert Joynson: Thank you. Thank you, Martin, thank you, Tobias.
Martin Ziegenbalg: Then we continue with Cristian from UBS, please.
Cristian Nedelcu: Hi. Thank you very much for taking my questions. Just two from my side. In Express, you mentioned a robust target volumes in October. Just to confirm by that, you mean the growth year-over-year in Express B2C in October? And in that regard, could you talk a little bit more about how you're setting up your cost base in Express for the peak in terms of FTE, in terms of capacity, air capacity versus last year? And the second one, just on the EBIT guidance for the full year. You mentioned earlier during the presentation that a late pronounced peak will get you close to the €6.6 billion. Just in terms of better defining, what the late pronounced week would mean that the volume growth in Express mid-single-digit volume growth or just low single-digit volume growth that would be equivalent to pronounced week? Thank you.
Tobias Meyer: So, it was a bit difficult to understand. So, we try to answer as best as we could. As it relates to the Express B2C comment on October, that would indeed be a positive, so growth year-on-year, but on B2C only. I think that's important to mention. On the cost base going into the fourth quarter, we remain cautious -- so we have adjusted the network to a cautious outlook, but we are able to flex up as we have shown in recent weeks that will then lead to some higher-flying costs on those charters that we might have to do short-term. But overall, that is a robust financial setup and also operationally, the team has proven to be able to handle that very well. So -- but we remain cautious as it relates to the fixed cost base, given that on the B2B side, we have not seen yet a recovery that will ultimately come but that hasn't really started yet, which also leads to the third question. The difference between the two scenarios that we have out will largely depend on how B2B is developing. As I said, we now see a relatively normal peak in B2C. I think that is what we expect based on where we stand, how the B2B trading on capital goods, on heavier airfreight shipment goes -- that is, I think, the uncertain part of it. And you will have seen that in Q3, air freight was still down in the market, but also with us quite a bit. And that obviously can quickly lead to a relatively big swing, given that this business is cyclical. So, that is different on the reason why we also have these two scenarios still out, whether on the B2B side, we see some more life in the fourth quarter.
Cristian Nedelcu: Thank you very much.
Martin Ziegenbalg: Thanks Cris and Muneeba should be next.
Muneeba Kayani: Yes, good morning. Thanks for taking my questions. Tobias, just wanted to go back and clarify on your 2025 outlook. Am I right in understanding that the change in guidance is mainly because of forwarding GAAP. Can you help me understand, how you've thought about Express in 2025 in your change in guidance? And then secondly, the M&A that was -- has been talked about quite a bit in Germany. Where are things on that? And where is your interest at this point? Thank you.
Tobias Meyer: So, regarding the question on 2025, we just see that this economic cycle, the trough phase, especially when it comes to global trade takes longer. And we're basically shifting the curve forward. That's the way we think about this. That has some impact on Express, but we obviously still expect 25% to be better than 23%, but maybe not to the same extent then with a quicker recovery and the same and more pronounced for Global Forwarding because, again, for forwarding, we also have a stronger time lag of movements in volume and rates flowing into GP and EBIT. There is a time lag because of contract length. And if we now basically shift the curve three, four months forward, that has that impact on the 2025 numbers.
Melanie Kreis: Maybe just to clarify because that is sometimes a bit confusing. So, in the forwarding business, we always have a time lag in the adjustments for our GP because we normally have longer contracts. So you now see that the spot rates in air and ocean are already much more down than what you see in our GP per ton and GP per TEU. So, there is a time lag in the downturn, which we're currently benefiting from. But also, when volumes come back, it will take a little longer on the forwarding side until you also see that flowing through in the rates. And that is why Tobias pointed out this time lag on the forwarding side. In general, for the 2025 recovery, we, of course, assume that we will see a recovery in Express. There obviously given the overall size of EBIT in terms of contribution to the group numbers, that will also be a very important element of--
Tobias Meyer: And to your second question on M&A, there isn't really anything new. We continue to be interested in those areas that we have laid out according to criteria, particularly in growth areas like e-commerce and emerging markets. But there is no update to that.
Melanie Kreis: Yes. And I think that is also what you have now seen with the recent announcements, so we closed the MNG KARGO acquisition, the e-commerce business in Turkey in October. So, you will see the cash out for that in our fourth quarter numbers. And we also announced the buyout of a long-standing partner in the Middle East for Global Forwarding. So, this is what we mean this on about €500 million for M&A, which we now anticipate in the fourth quarter.
Martin Ziegenbalg: All right. Muneeba, thank you. And we continue with Sathish, please.
Sathish Sivakumar: Hi. Thanks for taking my ques. I've got two questions here. Firstly, on the Express. So, you did flag that underlying EBIT is more like €27 million. And if you assume that actually, there is no peak season. So the base case for Q4 should be at least €727 million EBIT in Express. So if you could actually clarify that would be helpful. And secondly, around the freight forwarding, there are two parts actually. So, if I look at some of your peers have said that they are seeing lower volume but more transaction, i.e., the transactions have gone up relatively the cystic volumes. What are you actually seeing on your network? And secondly, within freight forwarding, the cost reduction, obviously, you said 2% FTE quarter-on-quarter. How should we think about going into Q4, what will be the impact on EBIT actually in terms of cost going out? Thank you.
Melanie Kreis: Okay. So, I think on the first question, yes, so I mean, we reflect very clearly in Q1 and Q2 that we had this tailwind from the fuel side, which has now turned into the headwind and the compare net impact of fuel FX and the tax benefit are in the order of €100 million, which is why €770 million is kind of like the underlying number, which is for the third quarter in Express, a very decent number. On the fourth quarter, it will now really depend on, a, the volume, which we already talked about. But of course, also on these moving parts, fuel and FX. So we saw a 30% increase in fuel in the course of the third quarter. Let's now see what really happens in the fourth quarter. That is next to market dynamics, the determining factor, and that is included in our DHL guidance. And I think for good reasons, we don't give a specific divisional guidance for the fourth quarter.
Tobias Meyer: I think on the second question, I think this was particularly referring to DGF volumes in terms of kilos in air freight and TEUs in ocean freight related to files as we would call it, so the number of transactions. It is very typical in this part of the cycle that the kilos are filed, the kilos per shipment in air freight and the TEUs per file and ocean freight go down. So, we confirm that we also see that. Again, very typical for the cycle, also an express to some extent, you do see that in the B2B segment overshadowed by the B2C, B2B mix that we obviously also have as a determining factor that we can confirm, again, very typical for this part of the cycle that the shipments get slightly smaller. This is typically in a pronounced trough where people need to order, but when -- also interest goes up, there's more focus on inventory management, and that leads to this effect that orders go out, but the volume per order is a little bit smaller. I think the third question was on the -- if I understood it correctly, there is an EBIT impact on this kind of seasonal cost ramp up.
Melanie Kreis: I think if I understood correctly, it was about kind of like forwarding again and what we're doing on the cost side and the FTE development. So when you look at our asset book, you can see that for DGFF, the number of FTEs was down by 3.5% year-over-year on the pure forwarding piece, it was actually down by 5%. So, we are, of course, making adjustments given the volume reduction we have to focus on productivity. We have always done these kind of measures without making big announcements, but there is a clear focus on cost control in Global Forwarding. And that is also what we continue now going forward because even in the U-shaped recovery, we don't expect all of a sudden surge in volume. So, we will remain cautious on the cost side. And that is also part of our kind of like multiyear getting the benefits of the new IT systems, improving productivity, also through smarter processes and systems. So, clear cost focus and you can indeed see that in the FTE numbers.
Sathish Sivakumar: Yes. Thank you.
Martin Ziegenbalg: Okay. Thanks Sathish. I hope you all got a few more minutes because we've got a few more callers. Would be Nikolas from Kepler. Next, please.
Nikolas Mauder: Hi, good morning. Thanks for taking the questions. Two from my side. From today's perspective, and based on the remarks around strong cash generation, do you consider a dividend of €185 million at last year's level realistic? That's the first one. And the second one, how do you see your ability to protect the €3 billion free cash flow run rate for 2024 and 2025 as implied by the new midterm guidance there. How much cost flexibility, do you still have across the important segments? And also, how much CapEx can you push out maybe a bit? Thank you.
Melanie Kreis: Yes. So, maybe on the first question, I think very clearly, as stated in our finance policy, dividend continuity is a very important factor for us. We have this 40% to 60% payout corridor linked to the net profit development. And I think that's also a nice opportunity to point out, again, this normalization, which we're seeing in our numbers. That was something which we had expected for quite a while, which is why in the spring of this year, when we took the decision for the dividend for the record year 2022, we went to the very low end of the payout corridor to 40%, bearing in mind already that we clearly want to be able to at least hold the dividend, a very clear commitment here. In terms of cash, yes, I think that is also what you can very clearly see in how we see the numbers for this year. So despite the scenarios on the EBIT side. And despite having a CapEx guidance range, we actually targeted €3 billion in free cash flow for the current year. And our logic here was so if business volume ticks up, we will go into growth mode again. We will see good OCF before changes in working capital but then we will see some drain from working capital, and we will invest faster and more if we are more in a contracting period like we are at the moment, we will have less OCF before changes in working capital, but we will also have less outflow from working capital, and we will then be cautious on the CapEx side, and that is balancing out. And on the cost side, yes, we have, I think, shown both on indirect on kind of like what we just discussed for FTE development in global forwarding on the aviation Flex and Express that we have levers, which give us flexibility. So, I think we are well prepared to deliver on the free cash flow for all the different scenarios. And that is why, we have now updated our midterm guidance to the €9 billion to €10 billion range.
Nikolas Mauder: Thank you very much.
Martin Ziegenbalg: Thanks Nikolas. And we continue with Sam from JPMorgan.
Sam Bland: Thanks. Thanks for taking the question. I have two, please. The first is on in freight forwarding. I think you said a couple of times on this call that there's this sort of contract lag before things get -- or pricing gets reset to current levels. How much of a benefit would you say is still in yields from contracts that were originally agreed six or 12 months ago and that are above the sort of current spot level of earnings in the forwarding market? And the second question is on Express. I think, Melanie, you said if you adjust for all these various sort of one-off type things. Q3 profitability was lower than the level in the first half. Why would you say that is a downward trend? Thank you.
Melanie Kreis: Yes. So, maybe on the forwarding side, so this is a typical thing, which we always see in the forwarding business where you typically have on average annual contracts. And so if rates normalize on the spot side, you are still on the higher level. And I think when you look particularly at the ocean freight side of things, we do anticipate that this normalization in rates will continue also a bit on the airfreight side, but I guess looking also on historical levels and the market dynamic, there is more normalization expected, particularly on Ocean Freight and that is also what we have included in our guidance. Yes, so on the Express side, volume trend has still been downwards. It's now the ninth consecutive quarter with year-over-year volume decline. And that naturally adds up in a network business, despite all the capacity adjustments we are making, and that has created additional headwind apart from all these special topics like fuel, which we talked about for Express in this.
Sam Bland: Okay. All right. Thanks very much.
Melanie Kreis: Thank you.
Martin Ziegenbalg: Thanks Sam. And three more in the row, I can see we continue with Sumit from SocGen.
Sumit Mehrotra: Thank you. So, Melanie, I know an attempt has been made as you responded to Muneeba, but I'll still put it slightly differently. So if I focus on the lower end of your $7 billion guidance for $25 million and let's say, €1 billion from P&P in the was €6 million from DHL. It's clear that supply chain, e-commerce growing the EBIT. What scenario have you actually built in for Express and DGFF, if there is volume growth of low single digits, what gives you the confidence that Express can still recover on an absolute EBIT basis from here? And second is a relevant linked question, how much of the rising burden from environmental compliance costs, SAF blending, have you built in to your guidance for 2025? Thank you.
Tobias Meyer: So, maybe I'll start on the Express side, we do indeed expect that once we see a certain recovery in the number of shipment volumes, but also in the way there is a stronger flow-through. Melanie highlighted that. We have seen this historically. And I think that is something that we would say is very reasonable to expect also going forward. And similarly, as you highlighted, there will be bigger contributions gradually rising from supply chain and also e-commerce, obviously, e-commerce, a relative increase not yet adding much on the absolute side with P&P. We highlighted that we do expect a substantial recovery from current levels, also to be able to continue the journey of investing, investing into sustainability, which is important to the government, and it is clear that the business needs to earn that. So that is also something that we do expect that will contribute towards 2025. The rising burden of -- yes, particularly CO2 abatement is something that we discuss very intensively. We do see though that particularly in the last four months, we have been able to do deals with customers, who also buy a low-carbon logistics services. And that is a very important question going forward. We would obviously like to significantly increase our buying of sustainable aviation fuels, but also other abatement measures. But customers, as we always communicated, need to make an increasing contribution towards that. So, we have planned for still being in the interim gap on spending being higher than the recovery through customers. But obviously, that gap needs to narrow, particularly in relative terms and customers need to make an increasing contribution. It's early days on that journey. So it's very hard to extrapolate how that will look in 2025, 2026, 2027. But it is something where, again, we're making progress.
Martin Ziegenbalg: Sumit, I think that answers your question. Thank you and we continue with Jo Braun.
Johannes Braun: Yes, good morning. Thanks for taking my questions. So, I have two questions as well. Firstly, on the EBIT impact in Express, you experienced this year from the volatility in the fuel prices. Have you ever thought about shortening the time lag for those surcharges to adapt because I think your UPS at FedEx, they have only one to two weeks' time lag? So, isn't this an obvious thing to optimize in order to avoid the short-term earnings volatility in that segment? And then secondly, can you just update us on the emergency surcharge in Express, is still in place? And if yes, to what extent and when will it be gone completely? Thank you.
Melanie Kreis: Yes, thank you. Two great questions. So, I think on the first one, yes, indeed, we are working on shortening the time lag that this delay for better or worse should reduce as of 2024. And we have also made adjustments to the fuel table, which have come into effect on the 1st of November. So, I think that is for me a showcase of kind of like the experience and the productivity of the Express team in managing that. ESS, yes, I mean, it's interesting that at the very end of the call, we get that question. I think that already shows the diminishing relevance of the ESS. It's still there, but with a reducing impact as we had always anticipated.
Johannes Braun: And when will it be gone completely?
Tobias Meyer: When will be gone completely, we'll have to see how it will transition into a normal state.
Johannes Braun: Thank you.
Martin Ziegenbalg: Thank you. And the last caller we have is Alexia from Barclays.
Alexia Dogani: Thank you. Thank you, everyone. I have two remaining questions, if I don't drag it too much. But on Express, can you explain, Melanie, what was the tax positive impact in the quarter? And if you could give us an indication of what do you expect these three moving parts to impact EBIT in Q4 as per your planning? And then secondly, in terms of the guidance adjustment for 2025. Have you gone to a range in order to reflect the fact that 2023 has a range? And how do you see the evolution from 2023 to 2025. I'm more interested in your thoughts whether we trough in 2023 or maybe 2024 is a bit of a kind of flat line year? Thank you.
Melanie Kreis: Yes. So, I think on the first one, so the tax effect was the reassessment of a number of long-term tax topics, some local topics, but predominantly related to the tax treatment of cross-border shipments where based on some new rulings we were able to make adjustments.  To the second question, what have you assumed for FX and fuel for the fourth quarter? So, just technically, in terms of planning, -- given that we don't have a crystal ball either, we normally assume that things stay the way they are for the quarter. And then we do some sensitivities around that. And I think that gave us the confidence also for the DHL guidance where, obviously, Express plays a significant role. On the outlook, yes, so how the start into the next year plays out and what trajectory we go into 2024 and how I think that clearly also depends, first of all, how now the U and L-shape end of 2023 is. So, we are focusing on this now and based on how we then finish 2023 and start into 2024, we will decide on our guidance for the next year and then communicate that in March.
Martin Ziegenbalg: Correct. All righty. Alexia, question answered?
Alexia Dogani: Yes. Thank you.
Martin Ziegenbalg: So -- and we are just still within scheduled time. So, thank you for your questions out there. And without any further ado, I'd like to hand over for your closing remarks to Tobias.
Tobias Meyer: Yes. Thank you for the very good questions and discussion. I think what you see in Q3, a lot has gone on in the world. And obviously, we are a bit disappointed by the macro development, especially as it relates to B2B trade. That's why we had to take out the V-shaped scenario as many by this time expected. But aside from that, our financials for such a quarter are, I think, astonish uneventful and in line with expectations. But one might argue that these are good times to be boring in terms of not surprising you with a lot of changes. We do see ourselves in good shape to still benefit from an e-commerce trend that we see intact and the ultimate upturn in the macroeconomic activity with the interest cycle, the interest cycle and the raises that we have seen, in our view, being one key factor in this prolonged slow macroeconomic environment. So, with that, thank you again, and looking forward seeing you soon or at least in the next year for hopefully then also more positive update on the macro situation. Thank you.